Operator: Good morning and welcome to Mercer International's fourth quarter 2014 earnings conference call. On the call today is Jimmy Lee, President and Chief Executive Officer of Mercer International and David Gandossi, Executive Vice President, Chief Financial Officer and Secretary. I will now hand the call over to David Gandossi. Please go ahead.
David Gandossi: Thank you, Sally. Good morning, everyone. As usual, we will begin with formal remarks, after which we will take your questions. Please note that in this morning's conference call, we will make forward-looking statements according to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. I would like to call your attention to the risks related to these statements, which are more fully described in our press release and with the company's filings with the Securities and Exchange Commission. So I am going to cover some of the key financial aspects of the quarter and then I am going to pass the call over to Jimmy. The fourth quarter of 2014 was an important one for Mercer and in many ways, transformational for the company. During the quarter we completed the process of restructuring our debt, which improves many of our balance sheet metrics today and gives us greater financial flexibility going forward. I will come back to the refinancing in a moment but first let me make a few comments on our quarter, which was operationally another very strong quarter for us. In Q4, we achieved EBITDA of $71.3 million, compared to $67.6 million in Q3, an increase of $3.7 million. During the quarter, the quarterly average European price increased slightly to $935 per ton, while the quarterly average price in China went down slightly to $715. However relative to Q3, our Q4 results benefited from the impact of the stronger U.S. dollar on our Euro and Canadian dollar costs and lower major maintenance costs. Partially offsetting these positive impacts were slightly higher per unit fiber costs at all three mills and lower pulp sales volumes. Relative to Q3, our pulp production was down slightly this quarter, primarily due to maintenance of the Celgar mill. Our Q4 sales were down relative to Q3 due to Q3's record sales volumes and the usual end of year holiday related logistics challenges. We reported net income of $3.2 million in the quarter or $0.05 per basic share compared to net income of $88.3 million or $1.38 per basic share in Q3. Our Q4 2014 income includes a loss on settlement of debt totaling $28.5 million or $0.44 per basic share associated with the recent refinancing of our 2017 senior notes and the Stendal loan facilities. You may recall that our Q3 earnings were positively impacted by one-time non-cash gains totaling $63.1 million associated with gains on the acquisition of debt that was owing to Stendal's minority shareholder and the recognition of certain tax assets. In addition, our Q4 2014 net income includes a non-cash unrealized gain of approximately $2.3 million on the mark-to-market valuation of our fixed interest rate swap. The U.S. GAAP and IFRS differences relating to major maintenance had an impact this quarter when comparing our EBITDA to many of our competitors. In Q4, we expensed direct cost of approximately $1.5 million on major maintenance, the majority of which would have been eligible for capital treatment under IFRS. With regard to our cash flow, our consolidated cash position was down significantly compared to Q3, as we used $189 million to reduce our debt in Q4. Our consolidated cash balance is currently sitting at approximately $63.5 million. Quarterly working capital movements decreased cash by about $24.8 million on a net basis, primarily due to a decrease in accounts payable. Capital expenditures including intangible asset expenditures drew approximately $13.7 million during the quarter. Of this total, the majority was spent on high return capital projects at Rosenthal and Stendal and $1.2 million was spent on the development of our new enterprisewide software system. Our working capital in the 12 month period ended December 31, excluding cash and short-term debt increased by approximately $7 million to $211 million. The increase was primarily due to lower payables. In terms of our liquidity, at December 31, we had approximately €28.5 million of undrawn revolvers available at Rosenthal, approximately CAD38.3 million available at Celgar and Stendal's new revolver had approximately €54 million available. The $63.5 million of cash at the end of Q4 includes approximately $10.3 million of restricted cash. These are funds that have been set aside to act as collateral for Stendal's interest rate swap. The collateral amount is contractually-based and as the interest rate swap balances declines, so will the collateral amount subject to certain minimum collateral requirements. Net debt-to-equity at December 31, was up compared to Q3, at approximately 1.4 times equity. The increase in this ratio was primarily due to a lower equity balance resulting from the impact of the strengthening U.S. dollar on the translation of our foreign currency denominated assets and liabilities which flows through the cumulative other comprehensive income line of our equity statement. I would also like to provide a quick update on our project to implement a new enterprise resource planning system. This project is going as planned and is on target to be completed in stages over the next two years. Now as previously mentioned, we successfully completed the refinancing of our debt this quarter. Specifically we repaid our 2017 senior notes in Stendal's two debt facilities with $650 million of new senior notes draws on our working capital revolving debt facilities and cash on hand. The effect of all this is, it significantly reduces our debt and increase our total equity. We have significantly increased our financial and operational flexibility and simplified our structure by eliminating restrictive covenants within the old Stendal bank credit facilities, extended the maturity of our long-term debt, enhanced revolving credit facilities and eliminated the complicated restricted group structure. Our interest expense will go down and our free cash flow generation will be enhanced, all-in-all a very positive way to close out the year. That ends my overview of the financial results. I will turn the call over to Jimmy.
Jimmy Lee: Thanks, David. Good morning, everyone. I would like to start by saying we are excited about the transformation of our balance sheet over the last two quarters, cumulating with the successful completion of the refinancing of our debt. We are also pleased with our fourth quarter operating results. As David noted, compared to Q3, our EBITDA was up approximately $3.7 million. Our mills ran well in Q4 and that has the effect of lowering operating cost in general, but we also benefited from a stronger U.S. dollar, which had the effect of lowering our Euro and Canadian denominated costs. Partially offsetting these positive impacts were higher per unit fiber costs in both Germany and Canada. December NBSK producer inventories were at 31 days, up four days from November. We not surprised to see this increase in producer inventories in December, since producers inevitably face shipping challenges due to the holiday season. However, even at these inventory levels, the NBSK market is considered to be imbalanced. In addition, December hardwood producers' inventories are down two days from November at 36 days and we have seen the softwood, hardwood gap beginning to narrow. NBSK list prices in February are $1,000 in North America, $900 in Europe and $670 in China. Looking forward, we expect new tissue machines in China and paper producer inventories at normal to low levels to create steady demand for NBSK. We believe that the European and North American markets are in balance and expect them to stay in balance through the first quarter of 2015. However, we are seeing some downward pricing pressure, primarily driven by currency fluctuations as a strengthening U.S. dollar creates price increases for our customers. Currently we expect to see some small downward price adjustments in all markets in the first quarter. The market remains tight and this, combined with the customers' inventory levels, is expected to keep prices reasonably steady. As I have noted in the past, we remain optimistic about the future supply demand fundamentals for NBSK pulp. We see demand growing in developing economies, particularly China, in a variety of grades including tissue, specialty and board. Specifically, there are approximately 2.8 million tons of incremental tissue capacity coming online globally in 2015, with approximately 1.2 million tons coming online in China. A common theme in pulp and paper analyst commentary is the new hardwood capacity. That has and will continue to come on stream. Despite this, the NBSK market has remained tight and our view is that the risk of incremental hardwood capacity negatively affecting NBSK prices is less and less of an issue. In fact, we believe 2015's steady global NBSK prices that indicates our contention that a papermaker's ability to substitute hardwood for softwood is limited due to the fact that modern paper machines require certain strength characteristics from the raw materials in order for the machines to run at the high speeds that they designed for. Today we are seeing the softwood, hardwood price gap as low as $40 on a net basis in China. At that level of price differential, it is possible that we will see paper producers using additional softwood in their recipes to get the benefit of higher productivity. Turning to our pulp production for a moment. Q4 was a strong production quarter for us. All of our mills had solid production including Stendal, which had a two-day maintenance shut in the quarter. As well, our mills had an annual production record this year. We produced a total of 1.485 million tons in 2014, which exceeded our previous production record by almost 17,000 tons. The majority of this increase was the result of the Stendal's Blue Mill project. In total, we produced approximately 374,000 tons of pulp this quarter compared to approximately 376,000 tons in the third quarter and approximately 365,000 tons in the fourth quarter of 2013. Our pulp sales volumes were down in Q4 and totaled approximately 361,000 tons, compared to 387,000 tons in the third quarter and 359,000 tons in Q4 2013. Our fourth quarter sales were down due to the lower sales at Stendal as year-end holiday related logistics issues slowed sales in late December. Our Q4 sales by region were Europe 227,000 tons, China 87,000 tons and all other regions combined were 47,000 tons. In addition, the mills sold approximately 202 gigawatt hours of electricity in the quarter compared to 207 in Q3 and 172 gigawatt hours in Q4 2013. Relative to the third quarter, our per unit German fiber costs were up slightly in Q4. Lower demand for lumber resulted in lower saw mill operating rates, which in turn reduced the supply of residual chips creating upward price pressures. Compounding this impact certain areas of Germany have experienced unusually high levels of rainfall and the wet ground that results have limited harvesting. On the positive side, demand on German saw and pulp logs from pellet producers and board manufacturers remain low. Looking forward, we anticipate that our German per unit fiber costs will increase marginally in Q1 2015 but we expect that the weakening Euro relative to the U.S. dollar will offset the cost increases in our U.S. dollar reports. We continue to monitor this market closely and are very focused on opportunities to reduce our German fiber costs going forward. In British Columbia, our Q4 per unit fiber costs were also up slightly this quarter relative to Q3. WE anticipate that Celgar's per unit fiber costs will also increase modestly in Q1 2015 due to the increased demand from coastal mills. However, similar to German fiber costs, we are anticipating that the weakening Canadian dollar will offset the rising per unit costs. We are currently satisfied with each mill's fiber inventories and expect that we will be able to continue to source the fibers that we need. We regularly get questions about the timing of our annual major maintenance shuts, so I will highlight that our 2015 major maintenance shuts are as follows. In Q1, Celgar will have a 10 day shut. In Q2, Stendal has a 10 day shut. In Q3, the Rosenthal has 14 day shut. And then in Q4, Stendal will have a two-day short shut. With respect to our NAFTA claim, we continue to expect our case to be heard in mid-2015 with a decision either in late 2015 or early 2016. In closing, we are excited with our new financial structure and our ability to create shareholder value from the financial flexibility we have now created. Operationally, we will build on our 2014 production sales successes. Regarding the NBSK market, we expect some currency related price impacts across all markets early in the first quarter but we believe the overall market tightness and incremental tissue supply will continue to drive strong pricing. We remain confident that the new hardwood capacity will not have a significant negative impact on NBSK pricing and we continue to be optimistic about the medium to long-term NBSK supply demand fundamentals, which we foresee as being driven by increasing economic standards globally. That is the conclusion of my prepared remarks and I will now turn the call back to the operator so we can open the call for questions. Thank you.
Operator: [Operator Instructions]. Your first question comes from the line of Sean Steuart with TD Securities. Your line is open.
Sean Steuart: Thanks. Good morning, everyone. Couple questions. You got, what looks to be, a pretty compelling free cash flow window opening up here over the next couple of years and it was pretty good this year as well for 2014. Can you speak to strategic priorities for capital allocation beyond discretionary CapEx plans that you have in place over the next couple of years?
David Gandossi: Yes. Hi, Sean. Good question. We have been expecting it. Free cash flow looks like it will be impressive. As you know, when we issued our bonds, we put a little bit of prepayable debt out there for ourselves. So we have got about $21 million on our revolvers to pay back. We have got the PIK note outstanding of €10 million. We have got the five-year bond series. So there is an opportunity down the road to pick away at those. Generally we see continuing with our high return modest capital investments. As you know, our mills are very modern. They don't have large capital needs. We do not have any large projects in our gun sights at the moment. We have an expectation to be rewarding shareholders. We expect to continue to build liquidity on our balance sheet, either in the form of cash or if we can opportunistically pickoff our debt, we will. So we see ourselves just getting stronger and having more optionality, if you like, as we go forward. The world's not always going in perfect direction. So it is really just sort of a balanced approach to capital allocation going forward.
Sean Steuart: Would M&A be on the radar at all?
David Gandossi: Well, we are not shy to do whatever we can to create value for shareholders and we are always looking for opportunities to grow and enhance our value proposition, but at the moment, there is nothing in process.
Sean Steuart: Okay and then second question. Jimmy, I appreciate the context you gave on NBSK markets. I just want to make sure I am reading your outlook the right way. We have seen prices drop through the first couple of months of the year and is your impression that if exchange rates stay where they are right now, there is limited further downside in NBSK pricing from current levels?
Jimmy Lee: Yes. I think the impact in terms of what happened late part of 2014 was really more driven by the speed of the decline of the Euro. The euro was dropping so fast, that the price adjustments to our customers were quite extreme. They were kind of waking up to monthly price increases in Euro terms, which were quite significant. And of course all of them were putting pressure on for some form of relief because their expectation as a result of, even significant decline at the start of 2015 was such that they recognized that the increases were going to be significant moving forward based on the formula as well as spot market type of pricing. And therefore the adjustment that we announced early on was really to reflect the over rapidness of the price increase in Euro terms and to give our customers breathing space so that they can make the adjustments which are necessary on their part to compensate for really the significant cost pressures that they have experienced in the later part of 2014 and going into 2015. So don't regards to the price decline that we announced and also our peer group have also taken as indicating really a week NBSK market. It's really more reflecting the reality that the price increases were substantial for many of our customers and probably too quick in terms of the nature and really now giving some breathing space to our customers to make and correct their own kind of pricing as well as costs so that they can at least make some adjustments. So I think that is really where our view is. We think that the prices as long as currency movements are reasonably stable, prices will stay fairly good. I think if there is further weakening of the Euro at a very rapid pace, then of course we have to address that kind of cost pressure again. Hopefully that kind of addresses my views.
Sean Steuart: That's good detail. Thanks very much, guys.
Operator: You next question comes from the line of Mark Kennedy with CIBC. Your line is open.
Mark Kennedy: Good morning. David, first of all, could I just get the CapEx guidance again for 2015?
David Gandossi: Yes. Good morning, Mark. CapEx for this year, we are targeting, round number is around $45 million of capital and the heaviest one is Stendal, about $20 million of that, Rosenthal's about $15 million and Celgar is about $9 million. Both Stendal and Rosenthal have these wastewater fee offset programs that we have talked about the past. So a good chunk of both of those programs is spending money to upgrade aspects of the mill to qualify for wastewater fee offsets. So it's kind of like a grant. So we accrue the costs on an ongoing basis in a three-year program. If we have a qualifying project, we can have those fees forgiven and so effectively government grant money to help us enhance the mills.
Mark Kennedy: Okay. All right. Thank you. And Jimmy, just a question on what you see in terms of new NBSK capacity? Like we know there is one big new mill coming in Finland, but there is now talk of a second mill in Finland. And then, also, you know there is talk of maybe one or two new mills in Russia, but with Russia you never know what's real and what's not. So just curious on your thoughts there?
Jimmy Lee: Yes. I mean, clearly, it looks like towards the end of this year, we will probably have the restart of the [indiscernible] recovery boiler. So there will be some further incremental pulp coming later part of this year, but our expectation is that the incremental increase of course in the tissue capacity as well as other specialty grades will more than adequately compensate for that further supply. In regards to the Ilim situation, of course they will further improve their productivity as we go through the year. So I am sure we will get further incremental tonnage coming out of Ilim through the year, but again not significant. So essentially being well taken care of by the continued growth and demand coming from capacity increases for tissue, as I said. In terms of the big Finnish mills which really are looking more in terms of 2016-on, of course there is the Södra capacity increase again reasonable size and then you have got the big unknown one which you know, really, we still within the industry don't have a really clear guideline as to how much hardwood softwood specialty dissolving et cetera, et cetera. So that one is still a big question mark. In regards to the speculative project, again in Finland, it is not really financed. It's still essentially just a drawing board. We questioned availability of adequate wood supply to have two look these large type of projects being looked at in a very short period of time to be realistic. So that's big question mark. Russian capacity, of course, it's always out there, but the financing issue for any Russian project, to be realistic, is going to be very difficult at best.
Mark Kennedy: Okay. No, that's great. Thanks for your thoughts.
Operator: Your next question comes from the line of Andrew Kuske with Credit Suisse. Your line is open.
Andrew Kuske: Thank you. Good morning. You gave some really good color and commentary on just expectations on fiber costs, but if we just walk through a little bit of the other points in your cost structure and just expectations and maybe in particular, just on chemicals cost. Do you see any major deviation happening in chemicals cost this year?
Jimmy Lee: Nothing of any material nature. Of course, there is certain chemicals because of, let's say, capacity closures or adjustments that we are having certain pricing pressures, but these commodities or our cost chemicals essentially are available globally. So it is not that we are not going to get it. It is just a question of some incremental increase. Of course, other chemicals, we are seeing decreases. So all-in-all, we are not expecting any real material kind of change net wise.
Andrew Kuske: Okay. That's helpful. And then just on the FX. I guess, maybe if you could run with the assumption that Euro/USD goes down to effectively parity, how concerned are you about that? Or is it really if we dropped to that overnight, that's much more of a concern, from a pricing realizations standpoint versus maybe a gradual decline over 12 months?
Jimmy Lee: Yes. A gradual decline will allow our customers to make the necessary adjustments as well as how and where they ship their end products to as well as their own cost inputs and pricing. So a slow, gradual decline certainly will not have a big impact. A rapid decline, like we have seen in the last few months of the Euro/U.S. dollar rates as well as the Canadian rates will put significant pressure on because of course they don't have sufficient time and there will be a lot of pressure put on us by the customers to at least help in terms of this adjustment and likely then you will see U.S. dollar prices again being moderated to compensate for that very rapid kind of weakness in the Euro.
Andrew Kuske: Okay. That's helpful. And then just, if I may, one final unrelated question and just about the conversations you are having with your customers really by region, when we look North America and Asia and then also, Europe, I guess what areas look to be the most resilient and really seeking more supply and at really tight pricing?
Jimmy Lee: Well, we are seeing, oddly enough, the Middle East and those areas a fairly strong demand, because of course, continued growth in hygiene grades in that market. China continues to grow in terms of the import. Of course there is certain sectors of the paper grade are experiencing significant overcapacity and therefore, of course, they are not in a good position, but other grades, especially the specialty grades are experiencing good growth. Tissue markets are still okay. So our expectation certainly in China is continued demand growth. More gradual than we have had in the past because they think their ambition in regards to the tissue capacity has moderated somewhat and is probably more realistic. So there has been kind of delays in the installation, but overall the total number of paper machines going in hasn't changed but really the scheduling has changed. The European market, certainly the German market is still fairly strong. Eastern Europe is fairly strong. Generally it's a mix of the paper. As the coated publishing type grade is clearly under pressure, generally the hygiene grades are fine, specialty grades are fine. So it's not that the market itself as a whole is bad. It's just that certain segments of the paper market are experiencing of course pressures, because of the capacity issues and demand drop-offs.
Andrew Kuske: Okay. That's helpful. Thank you.
Operator: Your next question comes from the line of Paul Quinn with RBC Capital Markets. Your line is open.
Paul Quinn: Yes. Thanks very much and good morning, Jimmy and David.
Jimmy Lee: Good morning.
Paul Quinn: Great results in the quarter. I just wanted to ask a couple of easy questions. One is, you described European pulp shipments as about 63% of your total in 2014 and in your pricing discussion, you alluded to just a rapid fall in the Euro and a cost increase for your customers and giving them time to adjust. What is your assessment of their ability to make the necessary adjustments, which really, I guess, translates down to raising paper prices or tissue prices and seeing some cost reductions?
Jimmy Lee: Well, I think each of these grades have different kind of profit margins. So I think clearly the hygiene grades are better positioned to compensate and take the higher raw material inputs and essentially reduce their margins at least in the short term. I think the other grades, probably are looking more to try to promote more exports because of course, if you can export in U.S. dollars and your cost is in Euro, then of course that compensates a lot for the increase in the raw material cost. So I think there is going to be a push, certainly in terms of the publishing grades, probably to export into U.S. dollar markets as much as possible. The hygiene grades, I think there will be probably some adjustments of their price moving forward, but probably initially it will be more of a margin squeeze.
Paul Quinn: And set up for an interesting dynamic. Okay and then in other markets, it seems like that's about 13% and you highlighted Middle East as an area of growth. Is that in the other bucket? And what percent does North America make up, as well?
Jimmy Lee: Well, for us, we really don't ship a lot into the U.S. market. It's primarily the China and also out of our German operations and some into the Middle East. As yet, our Middle East market and India market is fairly small but what we are seeing is certainly the demand side looks very healthy. It is continuing to grow. It is the U.S. dollar price market. And therefore, it is attractive for us and the shipping rate certainly have come down for many of these countries and I think that's really that the issue here. The difficulty of accessing the Indian and Middle East market is really more limited because of logistics issue rather than strictly just a pricing. The pricing is okay, but after you try to figure out how to get it there, then it doesn't make a lot of sense. But we are seeing that these logistics costs are moderating and there is other ways to get it there. And so we will focus on the Middle East and India market moving forward as certainly one in long term, that could be very good for us.
Paul Quinn: Okay and then you talked about fiber and chemical costs. Just wondering what you are seeing on the transportation side with lower oil prices? Whether it's coming back in some savings? And then, just because of the drop in energy, whether you foresee any sort of change in electricity prices on the stuff that you are selling?
Jimmy Lee: Well, in terms of the electricity price because it is a legislative fixed price, there is really no adjustment, whether the electricity rates are on a market basis going down. Of course, translated into U.S. dollars, because we receive it both in Euro and Canadian dollars, if the Euro continues to drop then, of course, in U.S. dollar terms, you will see some drop in overall income coming. But in terms of Euro price, Canadian price, there is no impact at all. In terms of certain shipping, we are of course getting some of the fuel surcharges eliminated. So we are getting the benefit of essentially the reduction in oil prices. Reasonable amounts but nothing of really material nature, but it helps. In terms of the Canadian situation, of course, as you know it's really the railcar availability and the port issues that have always been a concern during the winter period. Continues to be a concern and we are taking steps to essentially further reduce the impact of CP or the port type of closure situations. And therefore we think we are very well positioned this year, moving forward to really deal with any bottlenecks as a result of CP strike or port issues. I think because of our location, we will be far less impacted than many of our competitors in Canada, for sure. In terms of the European side, no, we have not really seen container rates really drop, because oil prices have dropped. We haven't seen really, certainly in the Baltic area, shipping rates drop for our log, but that's probably because it was the winter and typically costs because of ice and all these other things tend to be higher. We will have to see as we move through the rest of the year how the fuel price impacts in terms of those type of cost on the Baltic as well as long-term container rates, but a little bit early on right now to get really any real kind of benefits other than of course, elimination of the fuel surcharges.
Paul Quinn: Okay and then just lastly. It looks like pulp inventories came up, I don't know, somewhere around 13,000 tons in the quarter. Do you like your overall inventory levels? Where is the extra pulp sitting right now? And is that any kind of, back to your CP railcar, is that any concern at all?
Jimmy Lee: Our inventory build was as expected. It's typically very difficult to ship during the Christmas, New Year period as well as Chinese New Year coming in February. We knew that basically you are going to get reduction. In fact, because of the maintenance that we are going to be doing in the first and second quarters, the inventory build was actually needed anyway. In fact, at some point in the later part of last year, we actually had practically no inventory. So in fact, the inventory build, to a degree, has probably eased some of our concerns because of the rapidness of the Euro drop certain customers in Europe were ordering more because they realized that next month prices could increase. And therefore I think it was kind of frontloaded in certain areas and that's why Q3 volumes, as you can see, was quite significant. So you are comparing Q3, which was record sales, against Q4, which was still very good, but of course less than Q3. But some of the Euro currency issues came into play, shipping issues came into play and of course the holidays, both in Europe as well as the Chinese New Year plays into this in the early part of the year. So don't read anything in terms of the inventory build at the end of the year as anything other than more seasonal and holiday related issues.
Paul Quinn: Great. 2015 looks great. Best of luck.
Jimmy Lee: Thank you.
Operator: Your next question comes from the line of George Berman with J.P. Turner & Company. Your line is open.
George Berman: Good morning, gentlemen. Congratulations on a great quarter.
David Gandossi: Thank you.
Jimmy Lee: Thank you, George.
George Berman: I sure will not miss the restricted group in the future. Doing out the whole balance sheet in U.S. dollars, I mean it really makes it a lot easier to get your hands around the company. Quick question for me, with the recent refinancing, what will your annual interest cost savings be in U.S. dollar terms going forward?
David Gandossi: Well, a few moving parts in there, George. One of the things that changes, now that we have taken the Stendal debt out is, is the swap component moves out of the interest lines and moves down and into the mark-to-market line. But it is a cost and it is kind of like interest. So we did have lower cost. Stendal debt that we replaced with the 7% senior notes, but we took of the nine series. So net net, our interest expense is going to be down to low $50 million range, compared to the $60 million range last year.
George Berman: Okay and the extensive cash flow you will be generating this year, if things continue on the current path and we don't see any further concessions on price from your side, would you being pushed consider buying back debt at a premium or rather buying back shares here? Or possibly announcing a dividend?
David Gandossi: Well, I don't think we would be buying back debt at a premium, George. We would be rather keeping liquidity to keep our options open. The company view is, we wouldn't be buying back shares at this stage. We think our float is important for a number of our investors. So buying back shares is not all that helpful in that regard and I think generally our view is that a reasonable dividend is something that can grow over time as balance with improving liquidity and keeping options open is probably the way we would lean.
George Berman: Great. Good luck for the future.
Jimmy Lee: Thank you.
Operator: Your next question comes from the line of Andrew Shapiro with Lawndale Capital Management. Your line is open.
Andrew Shapiro: Thank you. Actually a few follow-ups from what was asked by a few of the prior questioners and also your script. You mentioned in your script this time, you expected a decision in the NAFTA now by the end of 2015 and inserted early 2016. You previously were scheduled to testify in July. Has that date been moved back, which has led to your adding early 2016 now in the expectation of a decision?
David Gandossi: No, it hasn't, Andy. In pushing our NAFTA legal team, we become more aware that it may take the tribunal a few months longer than we had originally expected, but we don't really have any firm view or knowledge or nothing's really changed. It's just better to be safe. So we just -- it might be 2016. We don't know.
Andrew Shapiro: But the trial in making and the testifying is still on for July?
David Gandossi: All on schedule, yes.
Andrew Shapiro: Okay. Following up as well on the recent question here and with the cash flow you are generating, your expectations of, we will call it, price stability, the CapEx needs you have also cited are probably not as substantial as they had been in the past and your types of loans that you could repay without premium also limited. At what point of reduced leverage does your other capital allocations which you have now said are more likely to be dividends than buybacks, kick in? Is there an optimal leverage ratio or range that you and the credit rating agencies and your lenders have identified so that one might figure out dividends around the table for a Board discussion X quarters from now?
Jimmy Lee: Well, Andy, we have tried to be as clear as we can and in the absence of Board decisions, there is not really that much more we can say. And obviously our free cash flow and cash retention situation is going to drive that discussions going forward and it will evolve. But I don't think I could be much clearer in terms of what our current intentions are.
Andrew Shapiro: No optimal range of leverage that you guys have in mind?
Jimmy Lee: No, I don't think it's driven, Andy, I don't think it's driven really by an optimum kind of level of debt or leverage. I think it's more driven in terms of, I think in the short-term, it's rebuilding some of the cash and we are paying some of the short-term draws that we have done. That is going to occur. Our view is, the first quarter certainly looks very strong. Our view is that will continue through the year. So we will see in the next few quarters the situation. If it is continuing to be as what we expect, then I think, certainly the cash position and the rebuild of our balance sheet is such that, certainly the Board will be looking at probably the allocation issue of the extra cash.
Andrew Shapiro: So it sounds like your observation on this is similar to mine, that it could be a few quarters, because one quarter pretty much takes care of your CapEx needs, another quarter rebuilds your cash, assuming you are on the same run rate. You are there within in this --
Jimmy Lee: All I can say would be, I guess, based on forecasts and our particular views of the market that clearly in terms of our cash position and our decision on capital allocation, we will be looking at that probably in the near future rather than looking at it several years down the road. So clearly it's an issue that we will be focused on as we go through this year and certainly I think the Board is considering, as David said, probably leaning more towards a dividend policy, a regular one, rather than any other form of allocation. Of course, it is subject to the debt market as such, if there is opportunistic type of pricing situations then, certainly we would be looking at that as being clearly an option.
Andrew Shapiro: No, I am not trying to tie your hands down. I just wanted to make sure we are on the same page that assuming what you guys expect and what's out there, it's something that's on the agenda within the current fiscal year that the Board will get to and would be discussing it.
Jimmy Lee: Yes. As I said, as things look very good, you know the probability is high, it will be something that will be on the table this year, but it's all subject to really what happens.
Andrew Shapiro: Of course. On the currency side, is it still the case that a $0.01 move in the Euro to dollar moves costs by about $5 million and the penny to the loonie is around $3 million?
David Gandossi: Yes. So those numbers, you just quoted come out of our prior year's 10-K, Andy and we just about to squeeze our current K into the market, I think you will find because of the levels, the Euro number will be slightly smaller but not materially.
Andrew Shapiro: Okay. You didn't give sales and production numbers by plant or I must have missed it. Are you not doing that after the restricted group's barriers are gone? Or --
Jimmy Lee: Yes. We have been resisting. Honestly, don't want to get ourselves into segment reporting. So we try not to put those out there.
Andrew Shapiro: Okay, that's fine by me, someone else might rely on them more. What's on the agenda for non-deal road shows and your conference plans for the coming few quarters?
David Gandossi: Yes. So have been invited to most of the typical bank conferences. So we will be getting a call of those. So Jefferies, Barclays, just did CIBC, McQuarrie's. We are going to do some marketing, probably with RBC and possibly with Raymond James, non-deal type stuff in the spring sort. So we are intending to be quite active.
Andrew Shapiro: All right. Come see us if you come out to San Francisco area.
David Gandossi: Will do. Look forward to it.
Operator: Your next question comes from the line of DeForest Hinman with Walthausen & Co. Your line is open.
DeForest Hinman: Hi. Thanks. Just a couple of questions. You mentioned some of the port issues with the seasonal aspects. Any instances of work slowdown or sympathy strike at the Celgar exposed ports?
David Gandossi: There is labor challenges in BC right now with CP engineers. They filed a lockout notice or a strike notice. And I believe the federal Canadian government is preparing back to work legislation. So there might be some disruption on the CP line for a period of time. There wouldn't be any sympathy striking by our employees over that. It would be too remote an issue for them. The port congestion issues continues, but as Jimmy mentioned, we move a lot of product outside of that particular hub to avoid getting caught up in that. So I think there is some risk of some congestion for the forest products industry generally, but I think we have got pretty good optionality as a company to work our way through it.
DeForest Hinman: Okay. Thanks and then the second question was on the strategy with your interest-rate swap. In my head, I thought maybe you would X that out, but then we have seen all this weakness in the Euro and I think that liability position was lessening. Is the intent to maintain that swap? Or would you guys look to exit that?
David Gandossi: DeForest, you are absolutely right. We could have just retired it, but with the strengthening U.S. dollar, interest rates being at record lows, we are betting that we are going to, we will be better off by holding it for now and that has been the case. It has been quite a move from currency alone. At some point in time, it's not a big thing anymore. If it looks like we got everything out of it we are going to get, we can close it out. But for now, it's more likely than not that the mark-to-market will improve in our favor.
DeForest Hinman: Okay. Great. Thank you.
Operator: Your next question comes from the line of Matt Sherwood with Cooper Creek Partners. Your line is open.
Matt Sherwood: Hi, guys. Congrats on a great quarter.
David Gandossi: Thanks, Matt.
Matt Sherwood: Just a quick question on dividend possibilities you talked about. Can you just walk through the restricted payments basket and just how that affects the level of dividend you could pay?
David Gandossi: Yes. That's a good question. So we have got a restricted payment basket which starts at $100 million and then there is formula room that gets created based on these typical net income test, 50% of net income. So the basket will grow over time if you have positive net income and if you have losses, it obviously diminishes. So the formula goes up and down. The $100 million is a one-time basket.
Matt Sherwood: Got you. So I mean just with the $100 million, you have the ability to pay out $1.50, if you wanted to tomorrow, a share and then from there, if you earn $2.00, next year you could pay out $1.00 of that, theoretically. You probably won't, but that's a fair assessment?
David Gandossi: Theoretically.
Matt Sherwood: Great. I guess just final question on just the competitive position of your customers with the decline in the Euro. You touched on it a little bit, but I guess is the decline in the Euro, if it continues to decline the way it has been, necessarily a bad thing for your customers? How do you look at it?
Jimmy Lee: Well, there is very many factors which go into it. Certainly the decline in the Euro means imports will be restricted, if it is coming out of the U.S. type of area. So clearly that's one issue. It strengthens their ability to export into U.S. type areas generally and therefore of course they will be looking at an export type of program. In terms of the hygiene grades, if it's made in U.S., it's not likely to be shipped in Europe. So essentially it's a local type of market and therefore of course they will be under pressure because they cannot just jack up their final pricing that rapidly. But at the same time, their cost inputs have to be adjusted and at the same time they are going to look at their margins. I mean, if you look at the hygiene area, certainly they have had much better margins than many of the other paper grades and therefore clearly they are in a much better position to absorb it in the short-term some of these cost pressures. So they are all different. At the end of the day, it's really more as consumers going to continue to buy and certainly in many of the grades they will continue to buy. We all know about the publishing grades, clearly depending on which grade they are all suffering at different rates. But that is more of a structural issue rather than any other issue.
Matt Sherwood: Right. Since pulp is an input that they all have, all of your customers, you would think they would over time be able to pass it through to their end customers in local currency, in light of the fact that--?
Jimmy Lee: Yes, I mean it is a global commodity. It's priced in U.S. dollars. All of the producers have the same cost pressures. So at the end of the day, it's not that it benefits one customer over another. Each of them have the same cost pressures and therefore all of them will be looking to make the adjustment. So you know that's a fact of reality and therefore prices will have to move to reflect the increase to all of them.
Matt Sherwood: Great. Thank you so much.
Operator: [Operator Instructions]. Your next question comes from the line of Dan Jacome with Sidoti & Co. Your line is open.
Dan Jacome: Good morning. Can you hear me?
Jimmy Lee: Yes.
David Gandossi: Yes. Hi, Dan.
Dan Jacome: Great. Thanks. I appreciate the time. I was just circling back to the discretionary sort of capital projects for one second. The Rosenthal, the tall oil project, I am assuming that's complete. Just wondering if you had any updated thoughts there? And then if your thinking has changed at all on sort of the incremental revenue you were expecting out of that going forward? Thank you.
David Gandossi: Dan, you are right. The Rosenthal tall oil project is completed. It was completed on time, on budget, functions the way it's supposed to. There is no technical issues involved and the price of the product we make is no change. So it's as expected.
Dan Jacome: Are you still expecting, I think it was, an incremental $2 million year one? Or has that changed at all?
David Gandossi: No, that's correct.
Dan Jacome: Okay. That's it. Thank you very much.
David Gandossi: You are welcome.
Operator: There are no further at this time. Mr. Lee, I will turn the call back over to you.
Jimmy Lee: Okay. Thank you. I thank everyone for coming to today's conference call. And you know it was a very good year and certainly this whole transformation of the balance sheet means we start this year with a completely new company in many ways and we are very much looking forward to what we can to achieve and certainly we are looking at very good markets, at least from what we can see today and therefore our expectation, certainly for 2015, to be again another very positive year. Thank you very much. Bye.
A - David Gandossi: Thanks, everyone.
Operator: This concludes today's conference call. You may now disconnect.